Operator: Good morning, and welcome to Genie Energy’s Second Quarter 2018 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation by Genie Energy’s Management, there will be an opportunity to ask questions. [Operator Instructions] In this presentation, Genie Energy’s management team will discuss financial and operational results for the three-month period ended June 30, 2018. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that Genie Energy files periodically with the SEC. Genie Energy assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. During the remarks, management may make reference to adjusted EBITDA, which is a non-GAAP measure. Generally, a non-GAAP financial measure is a numerical measure of a company’s performance, financial position and cash flows that either excludes or includes amounts that are not normally excluded or included in the most directly comparable measures calculated and presented in accordance with GAAP. Management believes that Genie Energy’s adjusted EBITDA provides useful information to both management and investors by excluding certain expenses that may not be indicative of Genie Energy’s or the relevant segment’s core operating results. Adjusted EBITDA should be considered in addition to, not as a substitute for or superior to, gross profit, income or loss from operations, cash flow from operating activities, net income or loss, basic and diluted earnings or loss per share or other measures of liquidity and financial performance prepared in accordance with GAAP. The Genie Energy earnings release, including a reconciliation of adjusted EBITDA to net income, is available on the Investor Relations page of the Genie Corporation website www.genie.com. The earnings release has also been filed on a Form 8-K with the SEC. Please note this event is being recorded. I would now turn the conference over to Michael Stein, Genie Energy's Chief Executive Officer. Please go ahead, Mr. Stein.
Michael Stein: Thank you, operator. Welcome to Genie Energy's Second Quarter 2018 Earnings Call. Today we will review our operational and financial results for the three-month period ended June 30, 2018. I'll provide a brief overview of our strategic and operational progress and then Avi Goldin, our Chief Financial Officer, will discuss the quarter's financial results. Following Avi's remarks, we will be glad to take your questions. Now turning to our operational results. At a high level, we continue to make good progress realizing the tremendous potential of our Retail Energy Provider or REP business, while working to complete our oil and gas exploration program. At Genie Retail Energy, the second quarter is typically characterized by the lowest levels of commodity consumption of any quarter with improved margins on both electricity and gas sales. At a relatively lowest spend rate on customer acquisition, we again, delivered solid financial results as Avi will detail to you shortly. Operationally, gross meter acquisitions by Genie Retail Energy in the U.S. during the second quarter, increased from 55,000 meters added in the first quarter to 57,000 in the second quarter. Below that total was below the 98,000 meters we acquired in the year ago quarter. Over the past several quarters, we have pulled back our customer acquisition program in certain states, particularly in New York, to mitigate regulatory risk, and overall have focused more selectively on relatively higher consumption customers. I expect that we will continue to see a gradual increase in our rate of gross meter adds during the second half of the year, and at these new customers, we'll yield greater lifetime value than our historical average. Our targeted Meter add programs are helping to diversify our U.S. customer base geographically. As a result, we are less concentrated in the states where we first launched our business New York, Pennsylvania, New Jersey than we have been historically. The lower rate of U.S. customer acquisitions in recent periods helped us to reduce average monthly customer churn during the quarter to 5.7% since newly acquired customers tend that higher rates of churn than those with longer tenures. The 5.7% rate is a significant decrease from the 7.6% rate in the prior quarter when we relinquished low income customers in New York to comply with the New York Public Utility Commission's order. It's also significantly lower than the 6.3% rate we've recorded in the year ago quarter. In fact, this is the first quarter we have achieved in average monthly churn rate for quarter of under 6% in a couple of years, and I believe we can do even better. Later this year, we will implement new customer retention programs that I expect will further dampen churn and increase average customer tenure. At June 30, our U.S. meter customer count was 363,000, a decrease of 10,000 meters from the count at March 31. However, our focus on high-value customers resulted in a much slighter reduction in our CEs, which decreased by just 2,000 to 283,000. Partly as a result of this transition, we saw average electric and gas meter consumption increased by double-digits compared to the year ago quarter. Those of you who have been following the company will recall that we are carefully working to expand our operations overseas when we identify significant growth opportunities. In Great Britain, we are working with our JV partners to ramp-up customer acquisitions, and so far that is going pretty well. We also expect to enter an additional international market in the second half of the year. Turning now to our oil and gas exploration operations. During the second quarter, we have obtained the extension of the exploration license necessary to complete testing in the northern portion of our former license area approximate to our completed Ness 10 well. We are working to obtain the requisite permits and other regulatory approvals. While we continue to focus our business on Genie Retail Energy, we are taking prudent steps to follow up on the intriguing Ness 10 results, while keeping a close eye on the result and the expenditures. Also in Israel, following the quarter close, we believe that we are closed to reaching an agreement to restructure Atid, our drilling services startup. Under the proposed terms, we would significantly reduce our anticipated residual cash expenses while retaining access to its expertise and capabilities. To wrap up, the first half of 2018 was extremely productive as we continue to narrow our strategic focus to Genie Retail Energy. Second quarter results were solid and consistent with seasonal consumption patterns, and we are well positioned for a strong second half of the year. Now, here is Avi Goldin to discuss our financial results.
Avi Goldin: Thank you, Michael, and thanks to, everyone, on the call for joining us this morning. My remarks today cover our financial results for the second quarter of 2018 to three-month period ended June 30. Throughout my remarks, I'll be comparing this quarter's results to the second quarter of 2017, focusing on the year-over-year rather than the sequential comparisons removes from consideration to seasonal factors that are characteristic of our retail energy business. Typically, the second and fourth quarters are characterized by significantly lower levels of electricity consumption than the first and third quarters, and gas consumption peaks in the first quarter with corresponding impacts on our top and bottom-line. The second quarter of 2018 was a solid quarter financially for Genie Energy’s core operations and in line with our expectations. Two quick notes before I present the results in more detail. First, in the second quarter of 2017, Genie Retail Energy accrued $9 million related to the settlement of certain class action lawsuits, which reduced GRE’s revenue by $3.6 million, $3.1 million electricity revenue and $500,000 in gas revenue, to reflect expected customer refunds, while increasing SG&A by $5.4 million for legal expenses. This should be kept in mind when evaluating year-over-year comparisons. Second, the decision to explore strategic options for our Atid drilling subsidiary, resulted in the consideration of the asset is held for sale, which triggered an impairment charge of $2.3 million in our GOGAS segment during the second quarter. As Michael mentioned, we have entered into an agreement in principal to restructure Atid. Revenue increased to $56.4 million from $50.2 million, reflecting both the revenue reduction the year ago quarter for legal settlements of $3.6 million and increased revenue per unit sold electricity, and on a much smaller volume of natural gas. The volumes just combinedly sold are relatively constant. Kilowatt hour sold increased 1/10th percent, while therm sold decreased 2.5%. Gross profit increased to $16.1 million from $12.1 million, driven by strong electricity and gas margins. Consolidated SG&A expense decreased to $15.4 million from $24.7 million. As mentioned earlier, the two most significant factors from the decrease were the $5.4 million cruel for legal expense in the year ago quarter and the reduced customer acquisition expense. Exploration expense decreased $934,000 compared to the year ago quarter to just $17,000 in the second quarter of 2018. We anticipate that exploration expense could increase if we were able to secure the permits of the testing at the Ness 10 site that Michael referred to in his remarks. Our loss in the equity of our JV operating in Great Britain increased to $716,000 from nil in the year ago quarter, as we began to ramp up customer acquisitions there. Our consolidated loss from operations was $2.3 million in the second quarter compared to the $13.6 million in the year ago quarter. Our loss from operations included the impact of the $2.3 million impairment resulting from the write-down of our drilling assets that I mentioned earlier. Consolidated adjusted EBITDA was positive $1.8 million compared to negative adjusted EBITDA of $11.9 million in the second quarter of 2017. Genie Retail Energy contributed $3.8 million of adjusted EBITDA in the second quarter, bringing its total contribution for the first half of the year to $14.7 million. In the second quarter year ago, legal settlements and related accrual combined with the aggressive acquisition of new meters and significant exploration expense, all were factors in the loss per share $0.55. This quarter, we significantly improved our bottom-line results with loss per basic and diluted share of $0.09, including our investment in the Great Britain joint venture and the impairment, resulting from the write-down of our drilling assets. Our steady financial performance in the recent quarters, and the $6 million invested by Howard Jonas and other investor this quarter, helped strengthen our balance sheet. A year ago, we reported cash, cash equivalents and restricted cash of $35.2 million and working capital of $39.6 million. At June 30th of this year, we reported $44.4 million in cash, cash equivalents restricted cash and working capital of $45 million. To sum it up, while the second quarter's low consumption levels are always challenging, Genie Energy delivered a solid quarter financially than its balance sheet already very strong continues to improve. Based on our financial and operating results this quarter, our Board of Directors again declared a quarterly dividend of our common stock of $0.075 a share. That includes my remarks on the second quarter’s financial results. I’ll now turn the call back to the operator for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Aaron Shafter of Great Mountain Capital Management. Please go ahead.
Aaron Shafter: First, congratulations on a solid quarter. First question is, do you have any per share figure, excluding the onetime charges from this quarter?
Avi Goldin: Sorry. The onetime charge on the rig impairment?
Aaron Shafter: The rig impairments, the legal settlements are the other things that seem to be onetime charges?
Avi Goldin: So the legal settlements did not impact this quarter. We projected it as because it was in the year ago quarter. So the only onetime charge affecting this quarter was the rig impairment.
Aaron Shafter: Okay for Atid. Okay. And do you have any figure on that exactly what that would mean per share?
Avi Goldin: On a per share basis?
Aaron Shafter: Yes.
Avi Goldin: So the rig impairment was $2.3 million.
Michael Stein: So it should be around negative $0.01, if I'm not mistaken.
Aaron Shafter: Okay. And relating to the permits and for Afek, it sense that you're in process of securing the permits and other regulatory approvals. Maybe just one the testing, can you expand on that at all. How long do you expect that to take? When do you expect to be able to get the testing? Anything more that you can share.
Avi Goldin: Yes, it's hard to know exactly when exactly we might get that permit. If you recall, there is a license that the Government of Israel gives out for the exploration. That's the license from the Energy Ministry, which we have. We got that renewal. And then there is a local permitting authority in the northern region that decides whether or not we can do the work and how we can do the work et cetera. We are expecting some kind of guidance from them, I think in the next few weeks, but I think it's really that tell when we might actually get started.
Aaron Shafter: And anything more that you could share on what testing that you plan to do once -- assuming that you get the permits and approvals?
Avi Goldin: Not specifically. What we've been able to discuss with shareholders is that this is going to be a much smaller level of testing than what we've done in the past when we were looking to do testing. And that is something that we don't expect to sort of reach the materiality levels that we've seen before. But we don't have the specifics on the work plan to discuss.
Michael Stein: Yes, one of the reasons why we mentioned the restructuring in mine and Avi's remarks of that key drilling is what we're trying to do is minimizing the ongoing cash expenses between now and when we actually get to do the work. So that once we get to do the work whether it's in a month from now, whether it's in three months from now, in the meantime we won't be spending any cash and we won't have to worry about finding in the resources to get it done. That is the purpose of the restructuring.
Operator: Our next question comes from Anthony Marchie [ph], a private investor. Please go ahead.
Unidentified Analyst: Could you shed a little bit more light on your entrance into a new attributing market? Is it domestic is it overseas? Have you incurred any expenses thus far or where we see any expense ramp-up when you do into to that market?
Michael Stein: Yeah, so when we enter a new market domestically, new state, in most cases, there is very little capital costs associated with entering those new markets except for just actual marketing, which is just dollars-spent on acquiring customers, which should be no difference in that new market than it is in the current market. That's not always the case, but in our 14 states that we're in and most of the states that we planned to enter that is the case. There are states though that require slight some upgrades to our operations in our back-office. But we don't expect those to be huge expenses. Internationally, things are very different because you got to start an operation from scratch. So in this quarter, we spent $700,000 in our JV, in the UK. We expect to continue to invest mostly at this point in customer acquisition, the operations are already there, the personnel are already there. We already have 2,000 thousand meters in that -- in England, and we expect that to grow. That’s true about any international market unless we’re using the UK operation as our base, which is not a worst thinking in the foreseeable future. It will be a little difficult to do that for a whole number of reasons.
Unidentified Analyst: Okay. So is your new market, domestic or international?
Michael Stein: We did enter an international market. We acquired a shell with the license in Japan and we expect to start marketing there by the end of the quarter, by the end of the year, sorry.
Unidentified Analyst: Okay. And is, I realized, is the new market in your minds a comparable to England larger or smaller?
Michael Stein: In terms of market size, it’s much larger.
Unidentified Analyst: I see. Okay. Great. And a final question. I know you guys have a buyback program. Have you purchased any stock or you're just focusing on conserving capital for your business expansion?
Avi Goldin: So we had not purchased any stock under the buyback program to date as you've corrected pointed out. We have a lot of exciting opportunities with much of that in internationally and also domestically, as we look to grow the business. And, so for right now, we don't look at conserving capital.
Operator: [Operator Instructions] This concludes our question-and-answer session and the conference call. Thank you for attending today’s presentation. You may now disconnect.